Operator: Good day, ladies and gentlemen, and welcome to Amadeus Third Quarter 2025 Results Conference Call. [Operator Instructions]. I would now like to turn the conference over to Luis Maroto, President and CEO of Amadeus. Please go ahead.
Luis Camino: Good afternoon. Welcome to our Q3 results presentation, and thank you for attending today. I'm joined by Caroline Borg, our CFO. So let's begin. We'll start on Slide 4. Amadeus had a strong third quarter full of momentum, which drove revenue growth acceleration and margin expansion. Year-to-date, group revenue has grown by 8% and adjusted EBIT increased by 9%, both at constant currency. Our prospects remain strong, and we entered the last quarter of the year with confidence to deliver on our outlook for the year. Amadeus is a B2B technology partner of reference in travel, and it is deeply integrated into the travel ecosystem. Many of the world's most important travel players leverage on us for their core technology. In the quarter, we continued to span our relevance. We grew our customer relationships with airlines, hotels, travel sellers and airports. We won new customers across our portfolios and broaden our offering. We are pleased to announce we have won the Ascott Limited as a new customer for Amadeus Central Reservation System in hospitality. Ascott is Singapore based and its portfolio expands more than 230 cities in over 40 countries through Asia, EMEA and North America. ACRS market leading attribute-based selling capabilities will empower Ascott to deliver uniquely personalized merchandising, enhance guest experiences and drive growth across its portfolio. The current scope of our ACRS agreement covers Ascott's global portfolio, excluding Quest-branded properties and those located in China. Further expansion is expected as Ascott continues to execute its global growth strategy. Investing for the future has been key to our success. In the year, we have deployed over EUR 1 billion in R&D into our solutions, technologies and capabilities to extend our reach in travel and to further connect the travel ecosystem. Today, we want to take the opportunity to serve some further insights into how we are leveraging AI to generate further opportunities. As you know, as a leader in the travel and technology space, we have been evolving and applying AI into our products and solutions for almost 20 years. Our journey began with operations research, machine learning continued with deep learning and introduction of generative AI, revolutionizing essential functions like flight scheduling and search, airport resource management, passenger disruption handling and revenue management systems. We use AI to optimize airplane usage to reduce the impact of disruption on passengers, to improve hotel occupancy forecasting and to improve the creation of shopping recommendations among others. We use AI at an enormous scale. We have been investing for an AI-driven future, and we are building the technological foundations to excel at Agentic AI in travel. As we complete our cloud transformation, we are also creating the first data mesh in travel, a trusted industry data source with several insights across domains and solid governance. For the potential of Agentic AI to be realized across travel, this is key. We are embedding Agentic AI as a capability of our platform for the benefit of our portfolio and we are uniquely placed to infuse Agentic AI across the travel ecosystem in the years to come. At Amadeus, we are also leveraging on strategic partnerships with world-leading technology players to boost our strengths. We are focused on our strategic partnership with Microsoft and Google to propel our AI innovation, deploy effective multi-public cloud operations and develop unique business collaborations. Garv is a recent example of AI co-innovation. Garv is an AI agent built on top of our airport data platform. Airport employees with Microsoft teams can ask questions using natural language and Garv reasons through problems, make decisions and learns from experience. Please turn to Slide 5 now for a strategic update. Amadeus is leading the airline retailing transformation with Nevio, our AI powered next-generation airline IT platform. Nevio's leading capabilities are being recognized by existing and prospective customers, increasing our competitive advantage and further deepening our customer proximity. Nevio has a distinct value proposition. It allows us to offer our customers the possibility of doing much more, and it also allows Amadeus to better attract new customers, thanks to its modularity. We are active in numerous RFPs. We continue to advance negotiations and we aim to expand our group of Nevio customers. In the quarter, we continued to deliver new Nevio capabilities. Finnair has introduced a significant step in airline retailing becoming the first airline to launch native ancillary combos, powered by Amadeus Nevio product catalog. This is part of our offer management offering and consolidates our products and services into one catalog. It is a single repository for all content that an airline can offer to travelers. These products and services can then be provided by the airline directly or by third parties, and they can be offered individually or bundled into an offer tailor to the traveler, and they can also be self-service purchases by the traveler. In hospitality, we have become a leading IT provider to the hospitality industry. We believe the Amadeus platform offers the most comprehensive portfolio of core capabilities to the hotel industry and is the most probably connected ecosystem of partners. We are uniquely placed to address industry needs and expand in this large and growing market. We are progressing well with the implementation of Marriott International and Accor to the Amadeus hospitality platform. The first Marriott International properties are now live in -- on ACRS and progressing well with more to be rolled out around the world over the next few months. Feedback on capabilities has been positive. InterContinental Hotel Groups, MGM, Marriott International, Accor and now the Ascott Limited, we are creating a global community platform of world-leading hotels and a mission to transport relationships with guests. Amadeus' travel platform is a platform that enables travel providers around the world to retail through third parties everywhere on the globe. This quarter, we expanded its reach by adding new travel sellers and increasing our share of wallet with existing travel seller customers, for example, with Trip.com. We also expanded the content bookable on our platform, for example, with low-cost carrier flyadeal, enhancing the platform's attractiveness. We also continue to sign new NDC agreements. Our goal is to become the undisputed aggregator of NDC content and we believe Amadeus has the most advanced and compressive NDC technology in the industry, and we aim to do NDC at scale. Finally, regarding our technological capabilities, including AI, Agentic AI promises to transport travel in positive ways, bringing increased personalization to travelers as well as productivity and efficiency gains across the value chain. We are uniquely placed to deliver Agentic AI functionality into our installed customer base and into new customers. Amadeus can build solutions for the travel industry that others cannot easily replicate. Our technology is natively integrated into travel players covering critical end-to-end flows and managing vast amounts of extensive data in travel. We have identified over 500 potential use cases whereby applying generative AI, we can bring value to our vast customer base through the announcements of our products or the creation of new ones as well as for internal efficiencies. We are enhancing our solutions together with our customers with very positive feedback. Some that had been launched already are Cytric Easy AI assistant for employees to plan and book personalized corporate travel with the Microsoft teams, Amadeus Advisor for leveraging business intelligence in hospitality. We have trained and deployed several productivity boosting AI agents for travel sellers on top of our selling platform, Connect. We are additionally investing in call center automation for airlines. We have received huge interest for this and it is a clear opportunity for all travel providers and travel sellers to gain efficiency and productivity at call centers. We are expanding our hospitality platform as well with Ascott for an AI automated call center powered by Amadeus and Salesforce. And we are also actively engaging with AI platforms to assess how we can best serve them within the travel industry. Please turn to Slide 6 for our most recent developments in Air IT Solutions. We continue to see great success in revenue management through the quarter. Amadeus innovative modular AI power and data-driven revenue management technology enables customers to optimize pricing, enhance operational efficiency and respond dynamically to market changes. Qatar Airways, Vietnam Airlines and Jazeera Airways have contracted for Amadeus Revenue Management solutions. Also as part of its acceleration towards modern retailing, Singapore Airlines has implemented Amadeus Dynamic pricing. We expanded our Altéa customer base in Asia with both Sun PhuQuoc Airways and Air Borneo contracted for our Altéa PSS. Several customers expanded the scope of solutions adopted from our portfolio, including Wizz Air, Aeroitalia, Malaysia Airlines, FireFly and Air Sial. In Airport IT, we continue to deliver innovative solutions. As I previously mentioned, we introduced Garv, an AI agent that enables better decision-making. Also together with Lufthansa, we successfully tested the biometrics enabled EU Digital Identity Wallet. This is an initiative led by the EU Commission that aims to have a digital version of EU ID, passport and driving license in an EU Digital Identity Wallet by the end of '26. We also have commercial wins with customers such as Manchester Airport, Changi Airport, Aeropuertos Mexicanos and Alyzia Handling who added solutions from our portfolio. Moving on to our volume performance in the first 9 months of the year, Amadeus PB grew by 3.7% or 4.3%, we exclude the leap year effect in the base driven by the global traffic evolution in the period, supported also by the Vietnam Airlines implementation, which slapped in [ April '25 ]. All of our regions, excluding North America reported solid growth. Asia Pac was our fastest-growing region, reporting 8% PB growth. In North America, Amadeus PB evolution was impacted by soft performance of some of our customers in the region. Western Europe and Asia Pac were our largest regions. In the third quarter, Amadeus PB grew 2.2%, moderating slightly relative to quarter 2, mirroring global traffic growth but with an improving trend within the quarter. You will see PB volume growth moderation in the quarter was more than offset by revenue growth by an accelerating revenue per PB. In the first few weeks of October, we have seen our PB volume growth trending ahead of quarter 3. Slide 7 for our developments in hospitality and other solutions. In the first 9 months of the year, the segment's revenue grew 8% at constant currency, supported by positive trends and evolutions by new customer implementation and increased volumes at both hospitality and payments, particularly in quarter 3, which supported revenue growth acceleration in the quarter. We have commercial wins in the third quarter across our business domains. I was saying before, we are pleased that the Ascott Limited has contracted for Amadeus Central Reservation System, represents a step forward in Amadeus' journey to transform the hospitality industry through its ACRS community and it demonstrates the value of our open and scalable technology for hoteliers of different sizes and needs. We'll also span our hospitality platform with Ascott with our AI power automated call centers for hoteliers. Our Business intelligence solutions continue to attract new customers, such as EOS Hospitality and Scandic Hotels. Our Business Intelligence solutions include Amadeus Advisor and AI agent designed to simplify that access and empower hoteliers with smarter insights to drive more informed decisions. Further on the AI front in hospitality, we have built an AI power solution within meeting broker to automate and accelerate hotelier's responses to group and events RFPs. Trip.Biz part of Trip.com Group expanded its hotel distribution agreement with Amadeus to support its continued growth outside of China, and Abu Dhabi's Department of Cultural and Tourism, and Adeera Hotel Group based in Saudi Arabia are adopting Amadeus Digital Media Technology. In the quarter, we expanded our partnerships. We have partnered with Shiji, a global provider of hospitality technology solutions to offer hotels a combined offering, including industry-leading reservation, property management, guest experience solutions through a single provider. We have also partnered with Sensible Weather, the leading weather warranty provider for travel and hospitality to integrate automatic reimbursement capabilities for unexpected adverse weather conditions into the Amadeus iHotelier Central Reservation System. In payment, Outpayce has made progress in scaling our payments offering. We have initiated the issuing of prepaid virtual cards and implemented various new customers such as HBX Group, who are now in production. Also Sweden-based tour operator Sembo and Hong Kong-based Junting Travel has expanded their B2B wallet agreements with Amadeus. Please turn to Slide 8 for our distribution highlights. During the third quarter, we signed 14 new contracts or renewals of distribution agreements with airlines, including low-cost carrier flyadeal, taking the total to 43 for the first 9 months of the year. To date, we have signed 75 NDC agreements with airlines, including Riyadh Air in the third quarter and 35 airline services in content accessible to the Amadeus travel platform. We had great commercial developments with major travel agencies. We expanded our travel seller customer base with travel management companies such as Corporate Information Travel in Malaysia an UOB Travel in Singapore as well as with leading French tour operator Voyageurs du Monde. All of these travel sellers will benefit from access to the broadest range of travel content, including NDC. We strengthened our relationship with online travel agencies such as Trip.com, which expanded its agreement with us and Fareportal, which continues to scale its NDC option through the Amadeus travel platform. Retail travel agency, Internova Travel Group and tour operator Cercle de Vacances expanded their partnership with Amadeus to also include NDC content. To review our volume performance in the first 9 months of '25, Amadeus bookings grew by 2.7% or 3.1%, excluding the leap year effect supported by continued commercial gains across regions most notably in Asia Pac, which was our fastest-growing region, growing 12% over prior year. In third quarter, Amadeus booking growth accelerated to 4% from a softer Q2 growth backed by a more stable overall global environment compared to first half. Growth accelerated across most regions, particularly the Middle East and Africa, Asia Pac and Western Europe. The volume growth acceleration in the quarter offset the expected moderation we saw in revenue per booking growth in quarter 3, which can sometimes be lumpy. And to the first weeks of October, we have seen a moderation in our booking growth relative to quarter 3. With this, I will now pass on to Caroline to review our financial performance.
Caroline Borg: Thank you, Luis. I'm delighted to be presenting our strong Q3 results today. So please turn to Slide 10 to review our solid financial performance to date with high single-digit revenue and adjusted EBIT growth at constant currency coupled with steady free cash flow generation, reinforcing our expanding relevance in travel. Given that the first 9 months of the year, the U.S. dollar has depreciated significantly in relation to the euro, we are displaying our performance of revenue, EBITDA, adjusted EBIT and free cash flow versus prior year also at constant currency to facilitate understanding of Amadeus' underlying financial performance. More details on our exposure to FX on our constant currency calculations as well as complete information on our IFRS figures and their evolution are available in the appendix of this presentation and in the Amadeus' January to September 2025 management review. In the first 9 months of the year, we've delivered strong growth across many of our key financial metrics. Revenue of EUR 4,895 million, 8% growth at constant currency, 6% reported growth. Operating income of EUR 1,420 million, 8% reported growth. Adjusted EBIT of EUR 1,471 million, 9% growth at constant currency, 8% growth reported. Profit of EUR 1,088 million, 10% growth and diluted EPS at 11% growth. Adjusted profit of EUR 1,109 million, 8% growth and diluted adjusted EPS of 9% growth. Free cash flow of EUR 955 million and expected 2% below prior year. Leverage at 0.9x net debt to the last 12 months EBITDA as at the end of the period. And as you know, we've been ongoing -- we have an ongoing share repurchase program for a maximum investment amount of EUR 1.3 billion, which I can announce just completed yesterday. Our 2025 outlook at constant currency remains unchanged. So now let's go to Slide 11 for our revenue evolution at constant currency. Our group revenue grew by 8% as a result of revenue expansion across all of our segments. Air IT Solutions revenue growth of 7.9% was driven by the PB volumes that Luis has just described previously and a 4% higher revenue per PB, which is fundamentally resulted from positive pricing impacts from new agreements and renegotiations, upselling of our incremental solutions, including those from Nevio and inflation. And in addition to that, we delivered strong growth of our airline expert services and our airport IT businesses. These effects were partially offset by a negative platform mix as Navitaire New Skies outperformed Altéa. We expect that revenue per PB growth to moderate in Q4 relative to Q3. Hospitality and Other Solutions revenues grew 8.1%, which was largely driven by the hotel IT, hotel distribution and business intelligence domains, supported by customer implementations and increased volumes. As we communicated in H1, Digital Media revenue growth showed an improvement in Q3. Revenue growth was also driven by payments where both our merchant services and payout services businesses expanded notably. As we have communicated previously, we expected revenue growth for this segment to accelerate into the second half of the year. In Q3, we have delivered faster revenue growth relative to the prior quarter, and we expect this growth to continue to accelerate again in Q4. Air Distribution revenue growth of 8% was driven by the booking evolution that Luis has just described previously, coupled with a strong revenue per booking growth of 5.2%, primarily resulting from positive pricing effects, including contract renewals, new agreements and inflation. As Luis mentioned, these effects can be lumpy in nature. And as we communicated in our half 1 results, revenue per booking growth in Q2 was exceptionally high with revenue per booking growth in Q3 moderating as expected and we expect that moderation to continue into Q4. So now let's go to Slide 12 for a review of our adjusted EBIT evolution. At constant currency, our adjusted EBIT grew 8.7% resulting from the 8% revenue evolution discussed on the previous slide. And in addition, our cost of revenue growth of 3.1% is fundamentally driven by an increase in transactions such as in air distribution and hotel distribution bookings and in payments due to the B2B wallet expansion. Reported fixed cost growth of 8% mostly resulted from, firstly, an increase in resources, particularly in our R&D activity, coupled with a high unitary cost. Secondly, higher cloud costs due to a combination of our own volume growth and also to our progressive migration of solutions to the public cloud as we continue to mature. And thirdly, to the Vision-Box consolidation impact in Q1. Fixed cost growth is expected to moderate in Q4 relative to Q3. Ordinary D&A expense increased by 4.2% as a result of higher amortization of internally developed software, partially offset by a lower depreciation expense at our data center given the migration of our systems to the public cloud. At constant currency, EBITDA margin was 39.1%, slightly below prior year, and adjusted EBIT margin was 29.8%, a small expansion versus last year. So now on to Slide 13 for a review of our adjusted profit evolution. Adjusted profit grew by 8.2% as a result of our adjusted EBIT growth, lower net financial expenses and higher taxes than last year. Diluted adjusted EPS grew by 8.9% in the period. Net financial expenses declined driven by lower average gross debt and cost of debt and taxes increased as a result of higher taxable income and a higher effective tax rate at 22%, which was impacted by the changes in local tax regulations and lower tax credits expected for the year. Adjusted profit evolution in Q4 2025 will be impacted by the unusually low effective tax rate that we had in the same period last year, Q4 2024, resulting from positive effects coming from previous years compared to the 22.1% tax rate expected for Q4 2025. Now on to Slide 14 to review our R&D and capital expenditure. As Luis was saying before, reinvesting into our business is the #1 priority for us. To evolve our technology capabilities and solutions for the benefit of our customers is something we are proud of, and it is hugely important to continue to enrich the competitive advantages we have built through the years of leadership in travel. At September, our year-to-date R&D investment grew by 10.6%. Half of our investment was dedicated to the expansion of our portfolio and the evolution of our solutions and AI capabilities, including Amadeus Nevio, Navitaire Stratos for airlines, our hospitality platform, NDC technology for airlines, travel sellers and corporations and solutions for our airports and payment services. 1/4 to 1/3 was dedicated to customer implementations across our business such as Marriott International and Accor for ACRS, our new Nevio customers, as Luis was previously saying and airline portfolio upselling, and customers implementing NDC technology as well as efforts related to bespoke consulting services provided to our customers. The remainder was dedicated to our migration to the cloud and our partnerships with Microsoft and Google as well as the development of our internal technology systems. In the 9-month period, our capital expenditure increased by EUR 80.5 million or 15.3%, mainly driven by higher capitalizations from software development. Capital expenditure represented 12.4% of revenue in the first 9 months of the year. And now on to Slide 15 for a review of our free cash flow generation and net debt evolution. In the first 9 months, we generated EUR 955.2 million of free cash flow. Free cash flow was slightly below our prior year by 2.1% as we expected and as a result of increase in our capital expenditure, as I just previously discussed, deployed to elevate our portfolio of solutions and to strengthen our value proposition. We also had an increased change in working capital outflow and taxes, partially offset by our EBITDA expansion and a reduction in interest payments backed by lower gross debt and cost of debt versus prior year. In Q4 and the full year free cash flow growth will be impacted by nonrecurring tax collections that increased free cash flow in 2024 by EUR 107 million in Q4 and EUR 116.2 million in the full year, as we described in the full year 2024 management review. Net debt amounted to EUR 2,219.9 million at the end of September, EUR 108.6 million higher than at the end of December due to the acquisition of treasury shares under the share buyback programs, including our ongoing EUR 1.3 billion program, which, as I said previously, has just completed as well as the dividend payment and a small acquisition in the Travel Intelligence space, partially offset by our free cash flow generation and the conversion of bonds into shares. Our leverage is 0.9x net debt to EBITDA as at the end of September. And finally, please turn to Slide 16 for our current views on 2025. In the first 9 months of the year, we've delivered steady and profitable growth, demonstrating the resilience and diversity of our business. We entered the last year of the year with confidence to deliver our group results within our 2025 outlook guidance range at constant currency, with revenues growing at the lower end of the range and EBITDA and adjusted EBIT growing faster than revenues. With that, we have finished the presentation, but before we open to questions, I'd like to share that this year we'll be presenting our full year 2025 results in person in London at the London Stock Exchange. We will be publishing a save the date on our website and circulating the information soon. We look forward to seeing you there. With that, we can now open the call to take any questions.
Operator: [Operator Instructions]. We'll take our first question comes from Alex Irving with Bernstein.
Alexander Irving: Two from me, please. First, on our distribution. Do you see the LLM, ChatGPT and so on, becoming a major distribution channel for airlines? And what steps are you taking to position for this? Second, if you do see this becoming an important channel, then does this create the ability for airlines to reduce their dependence on GDSs given the LLMs should have both the scale and the technological competence to plug directly into airline APIs. And would you expect airlines to offer content parity with GDS channels or to advance their own channels when selling through LLMs?
Luis Camino: Okay. Look, let me see how I see things. Of course, we will need to see how things evolve. But you know the travel space is complex. There is a lot of content fragmentation that in my view, needs to be aggregated and standardized and if we also think about the transition to offer an order and dynamic pricing capabilities, this will even add more complexity in the future in the way to really connect to travel providers and to really get the content. So whoever wants to consume travel, we'll need to work in my view, with people that can provide this content in a perfect way. I mean we are not just talking ourselves. We are talking about the need to be service and we also need to see that the look-to-book ratio is reasonable. You know that with NDC is already a challenge in terms of the number of transactions per booking. And with AI, this could be even more costly. So based on all that, we don't believe the goal of the AI platforms will want to become merchants, to be content aggregators and deal with all this complexity, we feel that these platforms will need real-time pricing, not static content. And you have seen many of them reaching today agreements with online TAs to get this content. So yes, there will be changes. This is a constant in our industry. We will target that as an opportunity. I mean, as you probably know, we are the largest provider of airline.com engines. We are the largest processor of online travel agency, and we work a lot with metasearchers. So this is -- the metasearch was also something that appear and we work with the majority of them. So our goal really is to keep our role. Of course, as an IT provider. And as I mentioned during my presentation, we have a lot of cases. This is going to be normal for any technology company, and we also feel in distribution we can play a role to orchestrate what is coming. And yes, the AI platforms will be a new channel of getting into the final booking, and we are engaging with them as we do with the metasearches to see how we can play a role. So we feel quite confident about that, but also we need to see how things evolve in the future and what is the final intent of the AI platforms.
Operator: The next question comes from the line of Adam Wood with Morgan Stanley.
Adam Wood: Maybe first of all, you made an interesting comment about the opportunity in call center automation. Maybe first of all, could you just talk a little bit about how far along you are from a technology point of view on that? And then maybe more importantly, from a strategy point of view, I guess that's a very labor-intensive industry today. It's not going to be a technology replacement cycle immediately. There's going to be a need to move from one to the other. I guess you don't want to hire a lot of labor to help manage that transition. So can you just talk a little bit about what the strategy is to help people move from your labor incentive call center operation to one that could be powered by your technology. And then secondly, we're obviously seeing flight restrictions in the U.S. Would that be included in the guidance range that you've given? Or would that potentially create downside if that was to persist through the end of the year?
Luis Camino: Okay. Again, we don't know what will be the impact in the U.S. But with our current figures year-to-date, I mean, we feel confident we can manage I mean again, it depends how things evolve, but it's already assuming that in the U.S., there may be some impact. As you know, we have more or less 20% of our volumes in the U.S., less in PBs. Hopefully, this will be short. But again, I think an impact may happen. Of course, this may impact us in that part of the world, but we expect to be within the range that we have provided to you. With regards to the call center automation, we are working in pilots and working very closely with customers. We believe this is an opportunity. Again, I mean, is not new to us because we have been delivering technology on this front, and there will be a transition to things that we are delivering, both for our customers, but also internally in the way we operate. So we are quite advanced in working with airlines. And of course, in many cases, we are in pilot mode. In other cases, we have launched the technology, but all that is moving well. That's what I can say.
Operator: The next question comes from the line of Sven Merkt with Barclays.
Sven Merkt: Maybe one on hospitality. Obviously saw a very good improvement in growth in the third quarter, and there are reasons to believe that we should see a further improvement in Q4. That said, you still need a substantial acceleration in the fourth quarter to hit the low end of the full year guidance. And therefore, it would be great if you could comment on your confidence on getting there? And then secondly, could you please give us an update on the cloud migration. Is there anything you can say more precisely when this will be completed? And what impact we need to take into account in our cost and cash flow modeling for the upcoming quarters?
Caroline Borg: Yes. Great. I can take both of those. So let's start with the hospitality acceleration. We've seen well, firstly, we mentioned that half 2 would accelerate beyond half 1. We also mentioned that we would be starting to see some recovery in our media slowdown from half 1. So elements of our hospitality business that have really benefited in the Q is our Hospitality Distribution business. As I said, recovery of Media, our Business Intelligence operations and our operations in payments around our merchant services and our B2B Wallet. So we've been very pleased with the improvement and the growth in hospitality. And we do expect that to continue to accelerate into the future -- into Q4, particularly. We also mentioned, Luis mentioned our implementation of Marriott, and we're starting to see that ramp up come through within Q3 and Q4. So we do feel confident in our Q4 projection for hospitality to continue to accelerate its growth. With respect to your cloud migration cost, we are in the high 90s percent complete, I think about 96% complete. We expect to complete early in 2026 and we're starting to see the evolution of our cost base as we transition through our cloud migration. It is true that there'll be some costs that we will not recur once we move to the cloud migration. Those costs are costs that are purely related to the migration activities. But given our ethos of reinvesting ourselves into our solutions and product offerings, we expect to redeploy a lot of those people into other activities. So the impact, we will see fixed costs growth moderating, continue into Q4, but the impact will not be that big from the cloud migration per se in terms of cost evolution.
Operator: And the next question comes from the line of Toby Ogg with JPMorgan.
Toby Ogg: Perhaps just on the growth side. So you've been running at 8% year-to-date ex FX revenue growth so far, and you're continuing to steer towards the lower end of the 2025 growth guidance. Just thinking about the midterm growth guidance of 9% to 12.5% growth CAGR that, I think, implies that growth next year should accelerate. Could you just give us a sense for how confident you are around that acceleration? And then what gives you that confidence? And then just secondly, just on the comments around the first week of October. You mentioned an improvement in the PB growth versus Q3, but a moderation in the air bookings growth versus Q3. We're now a week into November. Is there any color that you can share just on how those metrics have been trending through the remainder of October?
Luis Camino: Okay. Look, it's -- again, there are seasonality matters. What we have seen overall is that October was a bit weaker. But again, there are some seasonality effects, mainly in Asia Pac as we had in India, some holidays and in Korea, some specific volumes. So you always have these kind of cases. So this was the main reason, which is not happening in November. It is true that in November, and in the last part of October, we have seen some impact in the U.S., as I mentioned before, not much, but yes, some weakness there. So I will say bookings underlying are healthy. We don't see in the rest of the regions, any change compared to what we have seen in the previous months. But again, in October, there were some specific matters just in Asia. And in November, this was not there, but we have seen some weakness in the U.S. So if we exclude these effects, the volumes will be quite positive.
Caroline Borg: Yes. And if I take the question on our FY '26 growth trajectory. Look, firstly, we're not going to give '26 guidance today. We will come back in February with our 2026 guidance. However, to your question, we did communicate our midterm guidance, which covered 2026 at our Investor Day a number of years ago. We've delivered a strong 2024. We are on track to deliver a good 2025. So we are quite confident in our midterm guidance at a group level to maintain those CAGRs of 9% to 12.5%. But as I said, we will come back with more details on segments in February and tell you more about our evolution on how we see things once we've closed FY '25.
Operator: And the next question comes from the line of Victor Cheng with Bank of America.
Hin Fung Cheng: Maybe, first of all, do you see potentially more risk maybe from Direct Connect given NDC is now maturing at version 24.1 and AI is helping build these pipelines. I think in Q3 earlier, there is one large tech savvy TMC that switched from using GDS to direct connect for NDC content. So is that -- do you see that as a risk of more of that happening? Or is it more of a one-off scenario?
Luis Camino: We don't see an increase in direct connect to be honest. And I think I have mentioned myself that I don't believe on direct connect in general, it is expensive for both parties, requires adaptation. And if we think about NDC, there are new versions, that, of course, both parties will need to really support airlines and the travel agencies and adapt to that. There are not so many travel agencies that have global systems. And that means that, yes, when you deal with one system different in each country, you need to connect and try to really do this direct connect per country. Of course, you need to aggregate all these direct connects and then the rest of the content. So -- and then yes, I mentioned already the look-to-book ratios and the fact that the GDS has optimized that, and we are working really in trying to see with NDC and also with AI, how this is going to be handled in the sense of having intelligent search that is not hitting the inventory of the airlines every time there is a request because otherwise, this will be difficult to manage. So I don't think direct connects will be the norm. Again, we have said there are some specific reasons for some specific parts of the inventories that can work. But in our conversations, we don't think there is any push today in general, of course, there could be exceptional or specific cases in general from the travel agencies to really move into that direction and deal with the airlines. So we feel the contrary. There are more conversations about how we can bring back part of this content with the right technology and in the right way.
Hin Fung Cheng: Very clear. And if I can have one more follow-up. I think you have detail of interesting AI developments from Amadeus. But maybe can you help me understand on a high level, how you view Agentic AI can disrupt the distribution market either from a workflow perspective or from a structure or an economics perspective, any potential channel shifts or how Amadeus can participate and position itself in the new workflow?
Luis Camino: I mean, again, I tried to explain before, probably without much success. But I mean, again, we feel -- it depends how things move, of course, but we are extremely well positioned to really deal with whatever technology, including that. There will be a new channel. Yes, there will be a new channel of search and shopping. This has happened. Again, if you think about the way the metasearch works, including Google, of course, we will need to see how the AI platforms move and what is their intention. We don't think they will become a merchant, as the metasearchers are not doing so. And therefore, we are in a position to really provide them with the content that is required. I mean, moving -- because they don't need a static content, they need real pricing if they really want to move ahead and we don't think it's in the interest to really integrate vertically and try to really deal with all the complexity of the servicing and all the complexity of the pricing that is required, which is not an easy task. Therefore, our goal is to really be content aggregation to really orchestrate the needs of the AI platforms. But of course, yes, there will be a new channel of sales and inspiration and they will need to really go through the process with providers. Some of them are already working with some travel agencies, some of them, we can provide IT services as we do. I mean, we also announced in the last quarter our partnership with Google to deal with our Meta Connect, and this is a proof that both as they deal with metasearch and now the Agentic AI, we'll need to work with partners, and we feel we have this capability. And again, I was mentioning, of course, the huge amount of transactions that this may generate if -- I mean, this is not for free. As you know they need to use a lot of data, a lot of hits to the system and therefore, we aim to be orchestrating all that as the key technology provider. And that's our goal. And again, we engage with AI platforms. We engage with airlines about all that and as we have done at the times of other technology changes, we aim to be playing that role in the middle.
Operator: The next question comes from the line of Charles Brennan with Jefferies.
Charles Brennan: Great. Maybe I'll just start with a clarification on the hospitality side, actually. You seem to attribute the revenue increase more to the media side and maybe payment side. In the prepared remarks, I didn't hear you reference Marriott. Can you just confirm that Marriott did start as planned in Q3? Or were there any delays in that contract? And then with Ascott, we've seen these hotel chains take years to come on board and contribute to revenue. Should we assume that's the same for Ascott. Is it more of a '27 revenue event than '26? And then separately, can I just ask about pricing and the pricing algorithm that we should expect more broadly across the group. I think you're flagging in both Air IT and Distribution, we're going to see pricing per booking and PB declining in Q4 relative to Q3. I know you said you weren't going to give us guidance for 2026, but can you just talk through the broad algorithm that gets us to the pricing dynamics for '26 between underlying inflation and perhaps the non-volume-related revenues that feed into that pricing equation?
Luis Camino: Let me deal with hospitality. I mean we didn't mention as a key impact because the impact is already happening, but it's small. We started to really work with properties, but it's completely according to plan. And in the coming months, well, as we speak, we keep rolling into more properties. But the main impact, as we said for months will happen in '26, so there is no delay. Everything is moving according to the plan, but we started slower than we will have in the coming months when we see everything is working properly, which is the case. With regards to Ascott, yes, we will start the migration in '26. So it will not take so much time because the platform is much more mature, but we should expect the impact in '27.
Caroline Borg: Yes. And then in relation to the revenue growth, maybe I'll bring it a little bit more into the FY '25 because we wanted -- we want to deliver FY '25 first as a jump-off point for '26. And as I said, we'll give some FY '26 information in February. I think Luis adequately said that there is still some volatility in the macroeconomic environment, so we could see a moderation in group revenue growth in the Q4. And that's driven by what we're already seeing in terms of booking volume moderation that we've started to see in October. We've also seen some softening of our revenue per booking due to the timing of our customer, negotiations and renewals. We are seeing some softening revenue per PB due to pricing dynamics and we will -- we do expect to have a lower growth in service -- in our service revenue in Q4, but all of that is offset, as Luis was mentioning, by the acceleration that we are delivering in hospitality. We are seeing some really good implementation on our customer implementations and ramp up. And I apologize if I missed that off the script, but that's definitely a key part, recovery of our media business and the activities and commercial momentum that we gain across our payments businesses.
Operator: And the next question comes from the line of Michael Briest with UBS.
Michael Briest: Great. It's good to see distribution back at, I guess, nearly 90% of 2019 levels. But looking at the regional color, it's very diverse. So I mean, Europe is still maybe 30% below Latin America, nearly 40% below, while Asia is over nearly 25% above 2019. Can you talk to the dynamics in that market? Is that your win rates and competitive dynamics? Is it the way the airlines and the agents have adopted NDC and direct connects? That would be the first question. And then on the buyback, you're almost 80% done, leverage is the same as it was at the start of the year. Presumably you're completed in Q4, conceptually, do you feel comfortable if there's no M&A that we could maybe see further buybacks in 2026?
Luis Camino: Okay. In terms of volumes, again, it's difficult to really come back to 2019. But as we have mentioned, there can be in the distribution business as in the past, the fact that low-cost carriers were growing faster during many, many years, including in '25, in many parts of the world, okay? I don't remember exactly where all the details of the comparison with '29. We also move out of Russia at one point. So there are a number of effects where we have been impacted. And yes, there has been a move that has happened in the previous years of full service carriers selling more direct and less to the travel agency. So some of the most easier in the disintermediated volumes have moved to alternatives, mainly the direct sales more than really direct connects, okay? Some direct connects, but the majority of that has been the normal way of airlines pushing more direct sales. So that has been mainly what has happened when you talk about 6 years not very, very different when you compare 2019 with 2012, to be honest, we have always seen this disintermediation effects. We are seeing less in '25, as you see from the volumes that we are reporting and when you see the growth of passengers. But still, yes, I mean there are some of these dynamics that are still there. And that's clearly a reality despite that fact. I mean we have been able to really offset part of that with share, with bringing back some volumes and we feel optimistic about this business moving forward.
Caroline Borg: Yes. And maybe I'll take the question on buybacks, which effectively talks to our capital allocation policy, which, as you know, and you will expect me to say, we do have a disciplined capital allocation policy, prioritizing the investments that we're making to drive organic revenue growth. I think we mentioned that a lot. In addition to the dividend policy, we also completed the buyback this year and M&A still remains and has been a really key relevant part of our growth strategy. So we continually review all of those pillars and what other potential uses of our funds moving forward. And we will come back in February when we're in the process of setting our budget expectations at the moment and we'll come back in February with any changes to that dynamic.
Operator: The next question comes from the line of James Goodall with Rothschild.
James Goodall: So firstly, just sort of coming back to Investor Day, where you outlined your medium-term targets. You also gave us a TAM for all of your various business segments of EUR 41 billion. I guess, since then, we've seen a fairly material evolution in terms of the products that you're offering and where you're sort of headed. Does that mean that you'd see a larger TAM today than you did back at Investor Day? And then secondly, on Nevio and Stratos, we haven't seen a new customer for a while and Nevio was still waiting for one on Stratos. Are you comfortable with the current pace of agreements there? Is there any color you can give us in terms of how conversations are going with network airlines and LTCs and what we should sort of expect over the next sort of 12 to 18 months?
Luis Camino: Let me start with the last one. Yes, I mean, we have a lot of engagements as we speak. So the probability of having something close is high. I will say. But more than that, it's difficult to say because nothing is done until it's really done, okay? So hopefully, this will happen. But what I can say is that engagement is high. We feel and we believe the potential of that is very good for airlines. And therefore, there will be a natural move into offer an order in the medium term. The question is when but we have the feeling things are accelerated in terms of engagement with carriers. But of course, from that, we need to get the agreement with them and sign a contract, but the prospects are positive. And with regards to the TAM, I mean, in theory, you are right. I mean we are expanding our solutions in many parts of our business. We have not revisited that number, so I cannot give you what will be the number today. We don't have that -- but in theory, yes, I mean we are addressing more parts of the travel industry. So in theory, this should extend the EUR 41 billion.
Operator: The next question comes from the line of Laurent Daure with Kepler Cheuvreux.
Laurent Daure: I also have 2 questions. The first is on the Air Distribution business. You commented on the higher pricing and in particular, renegotiation and new agreements. I was wondering how in this kind of environment, what are the pillars to convince your customer to pay higher prices. And my second question is on Nevio. I understand it's tough to estimate the closing of some deals, but I was wondering whether the long sales cycle in your view, mostly comes from a tough environment. Or do you believe some of your potential customers are looking to see how the first implementation will be going in the near future?
Luis Camino: I mean, look, I think it's a matter of priority. This is not just about our sales providing the technology. It's also about the way the airline is aiming to really deal with our retailing capabilities. Again, I mean if you see and you listen some of the presentation of the airlines, what they talk about that, I mean they are objectives that they have. So it's a matter of when they are ready to really jump into the pool. It is also true we are developing and implementing some of the solutions. Some others are ready. So I really feel that will be traction. And then as we implement some of these carriers to really get the full benefits, of course, there will be some need for -- especially with the ones that they are working in the same alliance or with the partners that they have to really in the same logic. Otherwise, we need to be reaching between the new times and the old times. And therefore, there will be an additional pressure between them to really move into this logic. So that's why I said, look, I'm optimistic. We have seen already in our P&L already in the third quarter some revenues coming from the Nevio implementations. So progressively, we will see revenue upside in the years to come. But of course, it will depend on the timing of the signatures and the timing of the implementation.
Caroline Borg: And I can take the distribution question. So you asked a question about what's the commercial kind of foundations around distribution. Well, clearly, things like commercial success, market share gains, contract renewals, agreement, inflations all affect the pricing dynamic. We also have said that traditionally, quarters can be lumpy because of the combination of those things happen. But another criteria that can also affect the pricing dynamic is really the content that is being provided. So as we transition -- as the industry has transitioned from full content agreements into relevant content agreements, we offer more discount to -- for our providers with the more content that gets provided. So there's a mix also in terms of the dynamic of content that's being shared and what the pricing drives that as well.
Operator: And the next question comes from the line of Thomas Poutrieux with BNP Paribas.
Thomas Poutrieux: I just have one, please. And I was wondering if you could elaborate on the nature of the expansion of your relationship with Trip.com in particular. I think this one is interesting given their own relationship with Travel Fusion. So are you basically adding NDC concerns or LCC concerns? Or is it just that geographical expansion of your historical relationship? Any color here would be helpful.
Luis Camino: Yes, it is both. I mean, we are expanding with them. We have a very close relationship with them. We are increasing our set of wallet, expanding in different countries. So it's increasing the volumes we are having with them. They have been extremely -- yes, they have the ownership with Travel Fusion, but we have been independently of that, working very closely with them and getting very healthy volumes from Trip.com, and we have a very close relationship with them, definitely. So it's an expansion of a relationship, but we have had that should translate into incremental volumes for us.
Operator: And that concludes our question-and-answer session. I would like to turn it back to Luis Maroto for closing remarks.
Luis Camino: Thank you very much for attending the call and your questions, and we're looking forward to meet in London at the end of February. Thank you very much.
Operator: And the conference has now ended. Thank you for participating. You may all disconnect your lines.